Operator: Greetings, and welcome to LSI Industries Fiscal Third Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator instructions] As a reminder, this conference is being recorded. I'd now like to turn the conference over to your host, Jim Galeese, Chief Financial Officer, LSI Industries. Sir, please go ahead.
James Galeese: Good morning, everyone, and thank you for joining. We issued a press release before the market opened this morning, detailing our fiscal third quarter results. In conjunction with this release, we also posted a conference call presentation in the Investor Relations portion of our corporate website at www.lsicorp.com. Information contained in this presentation will be referenced throughout today's conference call included are certain non-GAAP measures for improved transparency of our operating results. A complete reconciliation of third quarter GAAP and non-GAAP results is contained in our press release and 10-Q. Please note that management's commentary and responses to questions on today's conference call may include forward-looking statements about our business outlook. Such statements involve risks and opportunities and actual results could differ materially. I refer you to our safe harbor statement, which appears in this morning's press release, as well as our most recent 10-K and 10-Q. Today's call will begin with remarks summarizing our fiscal third quarter results. At the conclusion of these prepared remarks, we will open the line for questions. With that, I'll turn the call over to LSI President and Chief Executive Officer, Jim Clark.
James Clark: Thank you, Jim, and good morning, all. As I'm sure you have seen from our earnings release earlier today, LSI had a great third quarter, and our performance year-to-date has been outstanding. Net sales were up 53% year-over-year, net income is up 146%, adjusted net income up 130%, and EBITDA is up 92% year-over-year. As many of you know, LSI historically has had some seasonality as outdoor lighting tends to slow during the winter months. Normally, the seasonal softness shows in our second and third quarters, October through April. Our outstanding performance in both our second and third quarter this year helps underline the changes we have made to our business, our ability to deliver products despite a challenging labor market and supply chain, our new product introductions over the last few years and a very active sales and agent network, along with the success of our Display Solution Group, including JSI. Six months ago, we celebrated LSI's first quarter with sales over $100 million. Today, we are celebrating our third consecutive quarter with sales exceeding $100 million. I am very proud of the effort by our employees, our agents, our partners and the confidence of our customers that have allowed us to achieve such a strong quarter and year-to-date performance. In 2020, we established a goal to achieve $500 million in sales and double-digit EBITDA in our fiscal year 2025. We talk frequently about this $500 million goal and the steps we are taking to achieve the necessary growth. At the center of our plan is our vertical market strategy, which has allowed us to focus our commercial efforts, our product development efforts and our overall messaging and customer value proposition on the markets where we can deliver higher quality solutions and separate our company from the commodity offering of others. This year, our Grocery/Pharmacy segment is on track to be our single largest vertical market, overtaking our c-store refueling vertical for the first time in the company's history. The combination of outdoor and indoor lighting, aisle marker signage, department graphics, along with refrigerated and non-refrigerated displays has proven to be a very powerful offering for our customers. Our ability to provide multiple solutions along with our onsite project management through our group called ADAPT allows our customers to solve more of their business challenges while reducing costs and simplifying their overall program management. The grocery store pharma space is experiencing significant growth and the need to update the look and feel of the in-store experience is critical to our customers as it is to theirs. We see many opportunities ahead and decades of growth in this space. We will continue to position LSI as a partner of choice from small to large customers and we will continue to look to expand our offering and services in this segment. Our c-store refueling space will come in as our second largest market this year, but it does not show any signs of slowing down. The reinvestment cycle in imaging and lighting solutions in the c-store market space has shortened considerably over the last 10 years with more frequent changes to attract and educate customers. Occasionally, I am asked about the life cycle of this market and the competitive threats to this sector as EV and alternative fuel cars and trucks continue to expand their presence. Honestly, I do not see this market or this customer base slowing down anytime soon. The first petroleum refueling station started to appear in the U.S. just over 100 years ago today. They have gone through many changes over the years from fuel and repair, services to fuel and convenience stores today. Through it all, they found a way to adapt and offer valuable services to their customers, and I fully expect they will continue to adapt and serve many customers for decades into the future, including offering EV charging and other fuel options side-by-side with their current offerings. Changing gears for a minute. In January of last year, we released news of a $100 million project award to provide outdoor digital displays and solutions across one of the world's largest quick-serve burger restaurants. Since the beginning of this project, I'm happy to say we've added approximately $20 million of future orders focused on indoor displays for this customer. That project will be started after we complete the outdoor portion rather of this project. Throughout this project, we gained a lot of visibility into this market. Our ability to not only design and build the equipment, but also to manage the installations and post-sale support is a very compelling proposition to our customers. Much like our grocery/pharma vertical and our c-store refueling vertical, we are able to lead with one solution, but offer many others, which decreases the project management aspect for our customers and increases the overall project value for LSI. In fact, as you may have noted, just a few weeks ago, we issued a press release regarding another large display order for QSR customer focused on the Chicken segment. Again, this is just another demonstration of our strategy in action. Each of these vertical segments tend to offer large multi-site projects, which creates the opportunities for LSI. On top of this, we feel the refresh cycles are compressing, meaning in some cases, as we finish one project, we are often starting work on the next cycle with the same customer. Straight to the point, we see a lot of growth ahead. Lastly, I want to mention the work of our traditional and general sales team, our agents and our partner network. For decades, we've enjoyed relationship with some of the industry's best lighting professionals across the U.S. In connection with these folks, we work a variety of projects together from large to small. Within these segments, we are investing in increasing our contact with customers, agents and others and providing training and other activities, which are all reflected by growth in a number of other vertical segments, including warehousing, parking, sports courts, automotive and many others. Geographically, Canada is a market we are increasing our presence in by using our JSI location as a platform for growth. And Mexico is finally opening back up again on a number of projects that have been stalled because of permitting and labor issues. The bottom line is LSI is in a very strong position as we look to the fourth quarter and the year ahead. As we discussed, our third quarter order rate was strong, achieving a book-to-bill ratio of 1.12. As such, our backlog entering the fiscal fourth quarter increased sequentially from the third quarter, while being significantly above prior year levels. Market indicators remain favorable and quote levels remain at a very high level within our company. Recent market share gains with new and existing customers together with effective and consistent operational execution positions us for sustained growth as we balance the rest of the year and into fiscal 2023. I am excited by what we have done so far and I am confident of a strong fourth quarter. With that, I'll turn the call back over to Jim Galeese for detailed comments on our financial performance.
James Galeese: Thank you, Jim. We delivered a successful fiscal third quarter, highlighted by sales exceeding $100 million for the third consecutive quarter, an increase of 53% versus prior year. Excluding JSI, comparable growth was 12%, our fourth consecutive quarter of double-digit comparable growth. In our prior call, we commented on entering Q3 with a strong backlog and expected favorable demand levels to continue. That combination along with solid manufacturing execution drove the strong sequential and year-over-year sales performance. Sales performance was broad-based. We remain encouraged with the number of target vertical markets continuing to generate high activity levels. Earnings were strong as net income was $3.6 million for the quarter and adjusted net income, $4.2 million, 130% above last year. Earnings per diluted share were $0.13, and adjusted earnings per share were $0.15, more than double adjusted EPS of $0.07 last year. Adjusted EBITDA increased to $8.5 million from $4.4 million last year. Operating and EBITDA margins increased sequentially in the prior year, evidence of our rigorous focus on margin management. The results were achieved in an ongoing challenging operating environment. Supply chain issues persist, while delivery reliability for many suppliers has improved, lead times remain extended. We identified this emerging issue over a year ago, and our team adapted sourcing and production scheduling processes to account for the current reality. These actions have allowed us to meet the requirements of our customers and capitalize on short lead time opportunities. We highlight an example in our press release of one of the largest warehouse retailers having a delivery requirement other manufacturers could not meet, and we had the capability to satisfy the requirements and won the additional business. Material input costs have stabilized somewhat, albeit at a high level. However, transit costs increased in the third quarter, the result of volatile oil prices. We continue to closely manage our end-to-end operating costs and utilize this information in our pricing models.  Shifting to segment performance. Lighting continues its strong momentum with sales 25% above prior year and adjusted operating income of $5.1 million and operating margin of 8.9%. Sales growth was balanced from several standpoints. Sales increased double digits in both project and distribution channels. Double-digit sales growth was realized in both indoor and outdoor applications and sales increased double digits in multiple priority market verticals. Specific verticals, including parking area lighting, refueling c-store, automotive, sports courts and warehousing, all generated growth led by new products. In warehousing, we completely refreshed our product offering over the last 18 months and is now our highest growth rate vertical over the last three quarters. Lighting again generated a book-to-bill ratio exceeding one in Q3 and entered Q4 with a backlog sequentially improved from Q3 and substantially above prior year. Moving to display solutions. Sales increased 100% and operating income more than tripled to $4.7 million, with an operating margin improving to 8.8% compared to 4.7% last year. The display solutions gross margin rate improved 430 basis points driven both by the addition of JSI and improvements in our core business. Increased sales were led by the grocery vertical. JSI display fixture shipments began in Q3 for the large order received last quarter from one of the nation's largest grocery store chains and shipments will continue throughout Q4. We have already secured an additional $12 million in orders from this customer for shipment in fiscal 2023. Quotation and order activity remains healthy in this vertical as grocers continue to invest in infrastructure and merchandising solutions. Site conversions continue for our large QSR digital menu board program. We provide complete program management responsibilities, integrating planning, multiple products, installation and other services for successful turnkey implementation. Our team continues to effectively manage the program, completing over 3,600 sites to date, leaving approximately 1,700 sites remaining in the initial phase. Our customer has acknowledged the outstanding performance. In fact, the customer again awarded LSI additional business for their Canadian locations. The total committed activity will take us well into fiscal 2024. Our performance was also a factor in the award to supply digital menu board solutions to a QSR chain focused on the Chicken segment, which will begin in fiscal 2023. Display solutions also enters Q4 with a strong backlog, while inquiry and quote levels remain high. Moving to capital allocation. A regular cash dividend of $0.05 per share was declared payable May 17 for shareholders of record on May 9. Strong third quarter earnings generated free cash flow of $3.3 million in the quarter, including the additional investment in working capital. We've invested over $19 million in additional inventory since the beginning of the fiscal year. Additional inventory has been an essential part of our flexible manufacturing model compensating for the inconsistent supply chain and greatly contributing to the significant sales growth achieved in the first three quarters of the fiscal year. We expect cash flow to be positive for the second half of the fiscal year. I will now return the call back to the moderator.
James Clark: Operator, this is Jim Clark. Before we move into the question-and-answer period, I'd like to make one additional comment. As you may have noticed, we issued a second and separate press release today announcing that LSI has authorized a share repurchase program. We are always carefully evaluating our capital allocation model and work closely to best balance the use of capital, including the acquisition of complementary assets, distribution of dividends and organic growth initiatives. This newly authorized program will allow LSI to repurchase up to $15 million of its outstanding shares of common stock on the open market in accordance with all applicable security laws and regulations. The approval of the share repurchase program by our Board of Directors demonstrates the confidence we have in our business, and it provides another tool for us to optimize value for our shareholders and our customers. I am pleased to have this as another tool in our toolbox. With that, I'll turn the call back to the moderator to open up our question-and-answer period.
Operator: Thank you very much. At this time, we will be conducting our question-and-answer session. [Operator Instructions] We have our first question from the line of Craig Irwin with ROTH Capital Partners. Please go ahead.
Craig Irwin: Good morning, gentlemen. Thank you for taking my questions. So JSI continues to knock the cover off the ball. So congratulations on some very successful execution there. My first question would be what's going right? Can you maybe give us a little bit more color? Are they benefiting from the legacy LSI sales force? Is this really them executing on what they already had in hand or is this an expanded customer base? Anything you can do to unpack that would be great.
James Clark: Yes. Craig, Jim Clark, thank you. Thank you for being on the call. JSI has gone very well. I think there's a lot of things. First of all, JSI, the team up there, the management team up there and the entire team, they're doing a great job. They came as a partner into our business. When we met, we sat down and talked with the management team and we look for a cultural fit, and that cultural fit was there from day one, and I think that they're excited to be here and they're executing well. In the background, I think that everything from our ability to help with supply chain, with operations, even the financial controls we're able to put in, gave them a better view on their business and help them execute better. That's number one. Number two, there we have had some cross-pollination. In fact, JSI is going to be the lead on our grocery vertical going forward. So they're in a leadership position there. And LSI with our experience in the c-store environment is going to be the lead position on that market. So there's been a lot of cross-pollination relative to areas of responsibility, looking at opportunities and really breaking it down. In fact, in the January, February time frame, we've got the two sales teams together and made that official. A lot of that work had already started being done prior to that, but we made kind of some of the lines drew them in a little bit thicker and made them official. And then lastly, you kind of touched on it. If we look at the total market, maybe JSI was very familiar with a third of the market. LSI was familiar with a third of the market. And both collectively, we had an opportunity to go after another third of the market. So that cross-pollination really brought each of the businesses from one-third penetration to two-thirds penetration. I'm saying those numbers representatively, but it gives you an idea of what I'm talking about, just cross-pollinating our customer set with their customer set and vice versa has really paid off for us.
James Galeese: Craig, Jim Galeese here. I'll just add. Their performance is broad-based. We referenced the one large order we have with one of the nation's largest retailers or grocers, but that only represented about 15% of their sales for a quarter. So they have very broad-based penetration into virtually all of the major grocers. And of course, that segment continues to invest to capitalize on changing buying consumer habits, et cetera. So they're well positioned both now and moving forward. And the element of refrigerated mobile displays, the demand levels there continue to be very, very strong.
Craig Irwin: Understood. So just as a follow-up on the Display segment. And I guess maybe the relative importance of the core sort of legacy business there is adjusted by the strength of JSI. But it seems that the organic growth rate in the legacy business has slowed down a little bit. Is this really because of the strong preference for JSI's customers for their products? Is it really sort of an opportunity cost where the sales force is focused on executing what's available at JSI? Can you talk through a little bit sort of what's going on the original display side? Is that something that we still see a lot of growth ahead in display?
James Clark: Yes. I mean I think that to answer your question directly, yes, there's a lot of growth still available in our traditional display solution. I wouldn't call it softness as much as some of the challenges we've had. And one of them I outlined in my comments, Mexico has – those projects, which have been ramping up for us very well pre-COVID. And then even through the beginning parts of COVID had virtually come to a stop, mostly around permitting issues and things like that. And so that created some softness, a little pocket of softness, but the demand didn't go anywhere, the orders didn't go anywhere, things just kind of froze. So on balance, when I look at the Display Solutions Group, without JSI they're doing very well. And like I said, we can identify where those pockets of softness are. But they're doing – they're strong, they're solid. And then JSI coming on has certainly accelerated the overall Group's performance, but it's not – I don't want to make one a shining star over the other. This is really both groups making each other better.
Craig Irwin: Understood. That's a great thing to see. So next question I want to ask about is gross margins. So gross margins ticked up sequentially. So I'm guessing your strategy on dealing with supply chain and components is working out pretty well. Can you maybe give us a little color about how this is likely to progress in your June quarter? And do you see potential for sort of step-wise margin gains over the next few quarters?
James Clark: Well, first of all, I think if we had been able to execute our programs like a lot of companies, I'm sure, but if we have been able to execute against our strategic plan, minus COVID, you would have seen even better margin improvement. We fully intend to kind of continue to incrementally move it up X amount of basis points each quarter. And everything we're doing indicates that we'll get that. Where we get surprised or where we get pressure on margin is obviously cases where we have supply chain hiccups or labor issues or things like that. And one of the things that we've decided to do over a year ago was really be that dependable supplier. Our onshoring here in the U.S., our decision back pre-COVID 2018 to kind of move a bunch of our material onshore, back onshore in the North American Continent has really paid off. And we continue to think we'll get a lot of momentum from that. But we're always fighting the same challenge as everybody else is. And if I were to put them in order right now, it's labor, it's transportation and it's pockets in the supply chain that can be disrupted easily. Even though we have alternative suppliers, we have backups to our backup plans, those hiccups hit us occasionally, and it's something that we need to be aware of. But with all of that said, our plan is to continue to ratchet up that margin performance.
Operator: Thank you. We have next question from the line of Jed Dorsheimer with Canaccord Genuity. Please go ahead.
Jed Dorsheimer: Hey. Thanks, and congratulations. I guess just a follow-on to maybe the last question. If we look at the supply chain and you look at the components that may have the greatest exposure to inflationary pressures. Could you – is it equally weighted or do you have a couple of hotspots in terms of those? And then I have a follow-up.
James Clark: Yes, Jed, thank you. Thanks for being on the line, and thanks for the question. I mean, I think it's kind of a little bit of whack-a-mole in terms of where those inflationary pressures show up. If I were to say one category that's hit us the hardest and has been most volatile across everything, it's our metals products, steel and aluminum. And for us to forecast what happens there has been very difficult. Now with that said, we've talked often on these calls about us beefing up our inventory, and there's twofold to that. One is to average out any of those spikes at transitory activity. And the second is to hedge against any type of supply chain constraints or there was a time when steel was starting to be allocated. So I can't – I wouldn't say that there's something that we're overly worried about. And I would also not say that there's a category that I put my finger on in terms of this is – this one tends to be the most volatile or anything. It's kind of equally evenly spread across maybe five or 10 categories, if you will, but not anything we're overly worried about right now.
James Galeese: And Jed, it's Jim Galeese here. Let me just add that we monitor that very, very closely on an ongoing basis, both our current cost and what we think some forward costs look like. And we work rigorously to align our selling prices to that. And the LSI team across the board has been very successful in doing so. And that's one of the key reasons why our margins, why we're seeing accretive margins as well. So we'll continue to align our selling prices with our – any changes in cost.
Jed Dorsheimer: Got it. And so far, you've been really successful in terms of passing any of those costs on. At a certain point, though, I would assume that as prices rise, you'd start to see a peak and perhaps some demand destruction, which you haven't seen. How do you see or how do you think of or gauge sort of how much room there is? It sounds like the onshoring efforts that you've done in place the ability to actually deliver above any potential price increases. So do you see a decent headroom there in terms of this strategy? And is that what you would attribute to the ability to kind of outpace or maybe take some market share?
James Clark: Yes. So I think that our ability to deliver has been key in terms of market share and a lot of our growth, and we want to continue to capitalize on that. We want to be very careful about product pricing. We don't want to put ourselves out of the market for something we consider transitory. So we've worked with our agents and our partners and their customers directly to kind of break up price into two buckets, if you will, right now. One, there's none of our customers, none of our agents are arguing we're in an inflationary environment. And they've been very understanding, and we've been very fair, great deal of respect back and forth about where real costs are and what those real costs look like. What we want to do is we want to be very careful on transitory costs on things that may have momentary impact that we can't absorb necessarily, but that we don't want to build into the price of the product. I'll use fuel as an easy example, but you can apply it across a couple of different categories, if you will. Right now, we see some increasing pressure in Europe around access to fuel, that does create pressure on the global fuel market. So diesel fuel prices go up. Well, when diesel fuel prices go up, we get surcharges from our carriers, and we have put a system in place that allows us to pass on those costs to our customers. And so we want to be careful about what's inflationary and what we think is going to stay built into the cost of the product and what we think is transitory and may – we may deal with as a surcharge, when we do deal with as a surcharge for something that's more temporary. I think the balance between those two, there's headroom in both. And I feel like our relationships with our customers across a broad base and our agents is very stable and very respectful to respond to the pressure on either one of those. So the headroom is still there.
Operator: Thank you. We have next question from the line of Amit Dayal with H.C. Wainwright. Please go ahead.
Amit Dayal: Thank you. Good morning, everyone. Congrats on the strong execution in this environment. Jim, in terms of your quarterly run rate, we are, say, between $105 million to $110 million. Is that what we should be sort of modeling for going forward? I mean you are at a pace of almost 30% year-over-year growth fiscal. And in relation to your $500 million target, I mean, are we approaching that number faster than anticipated? Can you just set expectations for us from that perspective?
James Clark: Absolutely, Amit. Thank you for joining the call. First of all, I mean, it's funny to me because we sat down two and a half years ago when we put this $500 million target out there and we had mixed reviews on it. And I've gotten a series of calls over the last month that says, hey, you're closing in on it pretty quickly. We'll certainly be – as we start to plan out our next year and the year after that, we'll certainly be looking at what that next iteration looks like. Looking immediately at Q4, I mentioned in my comments, we have 1.21. Is it 1.21, Jim?
James Galeese: 1.12.
James Clark: 1.12, backlog coming into Q4. So that's a book-to-bill. That's a very strong quarter for us, and those are orders that are in-house and we will deliver. Historically, Q2 and Q3 because of the seasonality around our outdoor products and that type of thing tend to have some pressure and tend to slow. We did not have that effect this year. And we did very well in both second and third quarter, both of them being about equal with each other. We expect that our fourth quarter will be sequentially better than our third quarter. It's not going to go off the roof because we still have some constraints relative to what we can supply. I mean there is a top in terms of how many units we can produce on a daily basis. But we've worked closely with our customers. We've worked closely with our agents to kind of create that schedule that puts us in an area where we can develop, where we can deliver. And we put pressure on our operations team and our HR team to get us the resources, both from a head count and from a supply chain side. So the fourth quarter is going to be sequentially better. I don't think there's any question about that. And I got to be honest, so we're looking at Q1 of next year and we're looking what we think is going to be relatively strong, too. So that $500 million goal will probably have to be updated at some point. I'd just like to celebrate a little bit of achieving what we've done so far before we go and paint the next picture, but we will be doing something on that.
Amit Dayal: Yes, I think those celebrations are definitely deserved. Any change in seasonality now, given the mix of business has changed a little bit, like how should we think about that? I mean is it a bit more evenly spread over the fourth quarter – over the four quarters compared to maybe a year or two years ago?
James Clark: I don't think the seasonality disappears. I think the strength in any one quarter or in our – typically our strongest quarters, Q1 and Q4 are going to remain. I still think there'll be on a relative basis and comparative basis, you're going to see some, a little bit more softness in Q2 and Q3. But overall, I think we've taken share, and we'll work hard to fight to keep that share, and there's still more room for us to grow. But I do think that, that seasonality will be – it's going to be core to our business because, again, our strongest market is outdoor and outdoor – I mean we can't define nature, winter is going to be here every year.
Amit Dayal: Yes. Understood. And then in terms of any granularity with respect to the backlog, what is in the backlog, Jim? Can you provide any additional color on that?
James Clark: I mean it's broad. It's across all our segments. Overall, every one of our vertical markets showed improvement. We highlighted grocery and pharma, and we highlighted our c-store because of the relative size, it plays in our market share. But every one of our vertical markets, parking, sports courts, warehousing, automotive, all experienced growth in Q2 and Q3 and sequential growth.
Amit Dayal: Yes, that's all I have for now, Jim. I'll take my other questions offline. Thank you.
James Clark: All right. Thank you.
Operator: Thank you. We have next question from the line of Rick Fearon with Accretive. Please go ahead.
Richard Fearon: Hi. Good morning, Jim and Jim, and congrats on another great quarter.
James Clark: Thank you.
Richard Fearon: So, Jim, you've done a terrific job of kind of executing on the plan you laid out a little over three years ago. And there was an earlier question about the sales growth at JSI. I'm kind of more curious with respect to the legacy business and the sort of the various verticals that you just mentioned, you saw growth, it sounds like across the board and then the largest being the grocery, pharma and the c-store. Are there other specific verticals where sort of, a) you just really realized some growth that kind of you're not fully expecting this past quarter, but it has kind of changed the dynamics a little bit for you? And then b), going forward, are there areas where you want to spend a little more attention because there really are growth opportunities that may be weren't sort of in your mind at the beginning of this year?
James Clark: Yes, Rick. Thanks for the question, and thanks again for being on the call. I wouldn't say we were surprised by any. Maybe automotive was our biggest surprise only because of their overall pressure. Warehousing has been performing like we wanted it to. And maybe our goals were a little aspirational, but the execution by the sales team, by the engineering team, I think the alignment of our product development over the last couple of years has really shined, no pun intended on that. In warehousing, which we identified as a great market, a great fit for us because it fits in that whole industrial kind of outdoor mindset. We performed very well indoor, don't get me wrong, but that more industrial lighting product, if you will, we really broke up the categories to serve that warehousing market. And we have a number of different categories kind of think of it as a good, better, best alignment in that warehousing segment. And that worked just like we thought it was going to work maybe even a bit better. And so I'm really pleased about that because the competition in that segment is pretty significant. And it surprised us. Another one that we saw really come back maybe a quarter earlier than we had anticipated was area lighting and parking. And that typically is influenced a bit by seasonality with the cold weather. I won't say that it was made up in terms of cold weather climates, but it was – it showed growth everywhere else that really kind of pleasantly surprised us. And so our hope is, is that momentum carries in as we start to have spring in some of the colder weather climates. If that growth that we experienced in Q2 and Q3 in that area and parking continues into the warm weather climates, we should have a real boom in that market. But I'll underline that all of our identified vertical markets experienced growth. And so we’re very happy with that.
Richard Fearon: Thanks. That's helpful. Congrats again on that. It seems like the supply chain challenges ironically actually have been sort of a benefit to the company where you've had the good foresight of building the inventory being prepared to meet those challenges. And that clearly has led to some new business and presumably that business is a sticky business. So it will be there in the future. How much of that growth do you expect may ease with the supply chains loosening back up or is it at this point, you've kind of picked that low-hanging fruit, you've got that new business that you otherwise wouldn't have seen because it was a short time frame type stuff, and you'll continue to see growth coming from both those new customers, as well as other areas?
James Clark: Yes. I think the message that we underlined to our customers and agents was about predictability and about a high say-do ratio. Once we capture the attention of these customers where we were able to take share maybe from some competitors or get included in a look where we may not have been before, we've been able to deliver against that. So what I would ask a customer that we're supplying today and doing very well executing against being a U.S.-based company, having a supply chain is likely not going to be as volatile as some of the others, why would you want to switch later? And those are questions we're asking right now. And most of the answers we're getting, Rick, are there would be no need for us to switch. We like the product, we like the service and we like the performance. So I'm hoping or I don't want to say hope because we're executing is that the value proposition we put in front of those customers to begin with that allowed them to come to, that created the opportunity for them to look at us will persist whether or not the supply chain starts to ease or whether or not our competitors start to put some of their challenges behind them. So our hope is we'll hold on to these segments and these customers.
Richard Fearon: That makes sense. And so the new product development is an area where it does sound like you've been able to reengineer some products so that it's more efficiently installed and made things feel a lot more sort of cost effective. And I was curious also, in that area, are there specific verticals where the new product development really is a focus, and you see some opportunities if you tweak the existing products via some engineering or introduce new products to attack the segment of that market that you see as an opportunity?
James Clark: Yes. Well, the answer is yes. And I don't want to tip our hand too much. But I would say that warehousing is a good example of one we just recently executed. And when I say recent, I'll say nine months ago, we were finished, a year and a half ago, we started or maybe a little bit longer than that. And that diversity of our product line and the focus on it from a performance standpoint and an entry point for different customers really paid off. And we've got a couple of those other markets that we're looking at, and we say these are ones where we think we can continue to differentiate ourselves. One that is fairly complete right now. Another one that's fairly complete is automotive. That's another one where we really do well. And I'd also mention, Jim Galeese just passed me a note, which is right on the button, which is product extension, product line extension. So much like our vertical strategy of, let's – we have confidence, customer has confidence in us, we get in there and we have a broader basket of solutions we can offer them, we're doing the same thing with our product line. We may be very well known our Mirada product line in our area light and outdoor lighting, parking, et cetera., is very strong brand, is recognized well, and we had a great offering in the large format and the medium format, but we were a little weaker in the small format. So we put time in and completed that product line. So now we have something small, medium and large. And we put a lot of time into that. The other thing that I'll mention that I don't give enough attention to, but is a real winner for us is our controls platform. We sat down three years ago and said, we're very compatible with all of the large players out there from a control standpoint. But we also want to offer our customers a basic in and out controls platform. And we've been able to do that, and it's paid off very well for us. I mean I was just looking at excess of 6,000 units out the door here recently in controls. And it's a nice add-on that just continues to add value to our core products.
Richard Fearon: It sounds like you had a great dialog between your sales team and the customers, so you're getting that feedback, you can kind of keep your finger on the pulse of what they're looking for and introduce things in a timely way. So it's terrific to hear that warehousing actually, you've kind of seen some of the proof in the pudding with some of the products that went to market there. Last question I had, and it's just sort of more philosophical. So I know when you took over the reins, Jim, a little over three years ago, it was sort of like, let's jettison some of the assets that really aren't being put to use redundant or unnecessary, and we're able to do so monetize those assets at really good prices and pay down debt and extinguish debt, which was sort of an exciting thing for the company. And then with the JSI acquisition, the company incurred some more leverage, which, by the way, in the world of finance where we have predictable businesses, it's not a onerous level of leverage by any means. And 2.5x debt-to-EBITDA, it seems like that's a – not one of those levels that creates consternation typically among management teams. But I was curious what your philosophy is with respect to debt levels. I know that in the best of all worlds, you probably like to operate debt-free, but there's really great opportunities, whether it means using some of the – some of your working capital for inventory or paying your dividend and now doing some stock repurchases, all of which make a lot of sense and you're still generating free cash flow that can be used to retire debt. Where do you sort of come out on things with respect to sort of a run rate of leverage?
James Clark: Yes. I mean, I think that to be in the twos is about where our company should be in that range, right? And I want to underline a couple of things. Myself and the management team, we're not hesitant to use debt for the right opportunities. Remember, though I don't think there's any operator that wouldn't say they prefer to operate debt-free. I do have a PE background, and I'm not unfamiliar with using debt to help the company grow. With that said, I want to make sure we're very responsible with it. So the twos are where we want to beat. I think that for a business like us, when we start to get into the threes and certainly not higher, we need to be really focused on debt. And when we're under twos when we're in the ones, then we can be very opportunistic, and we have a lot more freedom about how we can use our capital. And when we're in the twos, we need to be very aware, buckled down and focused on the right things. And it doesn't mean that one automatically gets put above the other, whether it's debt or dividend or share repurchase or capital expenditures. It just means that we're operating very closely at those levels.
Richard Fearon: Yes, it's helpful, very rational approach and appreciate the conservatism. And I just want to commend you, the Board, thank you for introducing the stock repurchase plan, as a long-term shareholder, we consider buying shares in the six, seven range as an extraordinarily good opportunity for the company. And presumably, there's someone who's willing to and would like to sell at those prices, it provides them an exit. But for those of us who are long-term shareholders, it sure seems like a great investment. So, yes, thanks for pushing forward on that front, too.
James Clark: Yes, you're welcome. And I agree with you at six or seven, I don't get it sometimes because our performance certainly would underline and indicate a better value than that. So for those that believe in the story, it's a great opportunity. I'll also say that I think the Board always had support of this program. We just had other things that we thought we could use capital in different ways. But if the market is going to let our share price come down to these levels or lower, then it creates an opportunity for us. One other thing, I wanted to touch on, Rick, that you had asked about, I didn't give a full answer was a good year to the market. And I want to take a minute just to say that, we do have a good year to the market, and it's because of our sales team, our product development, our marketing team, but it's also because our agent network. I mean, we have a great agent network, and they've really proven to be able to provide some really good information back to us. From the day one that I've been here, but in particular, through this whole COVID challenge, supply chain challenge, their insight into the market and their feedback has been very valuable. In fact, one of our larger groups, one of our more influential groups, we call them our group 10 folks, they're going to be in here this month, in May, rather. And I'm very much looking forward to spending time with them and their feedback is always valuable. And I got to tell you that closed-loop between our direct customer contacts, our agents, our product development teams, our engineering team, our sales team and most importantly or as important, our management team has really made a good kind of closed-loop communication, and I think we've been able to benefit a lot from it.
Richard Fearon: I imagine a lot of that strength is in the top, Jim. So it doesn't surprise me a bit. Thanks. Thanks so much for answering the questions. And congratulations on a nice quarter and looking forward to a long future together.
James Clark: Yes. Thank you.
Operator: Thank you. Ladies and gentlemen, we have reached the end of the question-and-answer session. And I'd like to turn the call back to Jim Clark, CEO, for closing remarks. Over to you, sir.
James Clark: I just want to say thank you to all of you that participated in the call today. I think we covered a lot of ground in the call, so I won't extend it beyond saying that we're excited about the fourth quarter. We feel like we'll have a strong sequential growth into our fourth quarter, and it will be a strong fourth quarter. And right now, we're gaining good visibility on our first quarter of next year, and we're encouraged by that also. So as always, if there's any additional questions or anything that we can provide color on, please don't hesitate to reach out to us directly or through Noel. And we'll look forward to talking to you in the next quarter results. Take care.
Operator: Thank you. Ladies and gentlemen, this concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.